Anna Tuominen: Good afternoon, ladies and gentlemen. My name is Anna Tuominen. I'm the IRO of Marimekko. Thank you for joining us today. We have the opportunity to hear our President and CEO, Tiina Alahuhta-Kasko, in a few minutes to go through Marimekko's Q4 and full year results from 2025. And after that, we have reserved some time for Q&A with Tiina and our CFO, Elina Anckar, answering your questions. You can type in your questions using the chat function already during the presentation and then we'll start going through them after we first heard Tiina's wise words. Tiina, please go ahead.
Tiina Alahuhta-Kasko: Thank you so much, Anna, and good afternoon, everyone. It's my pleasure to share with you a few words about Marimekko's results in 2025. So let's get started with the fourth quarter of the year. As it pertains to our business development in the last quarter of the year, of course, the market situation continued to be challenging. But despite of that, our net sales grew from the comparison period's record level, fueled by our international sales and our operating profit margin was at a good level. Altogether, our net sales in the fourth quarter grew by 1% and totaled EUR 54.7 million. Our net sales were driven especially by increased retail and wholesale sales in the Asia Pacific region in spite of the globally uncertain market situation and the weak consumer confidence. In total, our international sales increased by 5%. Net sales in our home market in Finland were down by just 1% as retail sales declined in the environment that in Finland remained highly price sensitive and tactical. Then as it pertains to our profitability, our comparable operating profit totaled EUR 8.8 million, equaling to 16.1% of net sales. It was decreased by higher fixed costs, while then improved relative sales margin and increased net sales had a positive impact on profitability. Overall, our cash flow from operations strengthened and our financial position continued to be strong. Overall, as we now have entered to the 75th year of Marimekko's operations, our brand is as vibrant as ever. Then, of course, our strong financial position, paired with the sustained profitable growth and positive development of our business, they put us in a great position to continue scaling up the global brand -- Marimekko brand phenomenon growth also in the now started year. But let's have a closer look now behind the drivers in net sales and operating profit. So starting with the Q4 net sales, which increased by plus 1% to EUR 54.7 million and being boosted in particular by the increased retail and wholesale sales in the Asia Pacific region. Overall, the net sales in Finland were close to par to the comparison period as our retail sales declined in the highly price-sensitive and tactical operating environment. However, wholesale sales grew by 2% when the domestic nonrecurring promotional deliveries increased. In our second biggest market area, the Asia Pacific region, our net sales grew by 10% as retail sales in the region increased by a very strong 24% and wholesale sales by 9%. Internationally, overall, our retail sales also grew in all other market areas. And in total, our international retail sales grew very strongly, so plus 20%. And in total, our international net sales grew by 5%. Then when looking at the full year '25 performance, in total, our net sales increased by 4% to EUR 189.6 million, boosted especially by the growth of wholesale sales in the Asia Pacific region and in Europe as well as the increased retail sales in Scandinavia. The operating environment in Finland continued as challenging. And as estimated earlier, also the nonrecurring promotional deliveries in the domestic wholesale sales were considerably below the comparable year. But in spite of this, our net sales in Finland increased. Our retail sales in Finland were on par with the previous year's record level, while then wholesale sales increased by 1% and licensing income grew significantly. Then when we look at our second largest market area, the Asia Pacific region, that increased by 2% when both wholesale and retail sales grew. So while we had a good development in this core business of retail and wholesale in the Asia Pacific region, the net sales in that region was negatively impacted by the considerable decline in the licensing income in the region. Overall, when we look at the group net sales performance in the full year level, as estimated since the beginning of 2025, the licensing income was considerably lower than in the previous year. And that, of course, had a negative impact on the total net sales development as well. In total, sales grew by 7% with retail sales increasing in all and wholesale sales in almost all international market areas. So international sales, plus 7%. I think that's a good testament on us progressing well in our scaling journey despite the volatilities and uncertainties in the world economy and consumer confidence. Then when we look at our net sales breakdown per market area and by product line, no major differences or changes in the split by market area. So Finland continuing to be the strong home market and then Asia Pacific being the second largest market, but also solid kind of shares across Scandinavia, Europe and North America. When we look at the net sales split by product line, fashion is there the biggest product line. And actually on a full year level, we saw the strongest growth from the fashion product line, namely 12%. Our omnichannel store network also expanded in 2025. And today, 174 Marimekko stores around the world serve our customers. And our online store serves customers already also in 39 countries. Our brand sales in the full year amounted to EUR 385 million and 62% of our net sales came from the international markets. Then when we look into our profitability in the fourth quarter, our comparable operating profit margin -- profit was at a good level, amounting to 16.1% of net sales. Our operating profit was decreased by a higher fixed cost, while then the improved relative sales margin and increased net sales had a positive impact on our profitability. When we look at the drivers behind the fixed cost increase, they were due to, in particular, the higher marketing costs, but also due to increased personnel expenses. Then when we look at what is behind the increased personnel expenses, it is the general pay increases in different markets as well as the increased personnel costs in stores to support retail. The relative sales margin was improved by margins per product being at a good level as well as lower logistic costs than in the comparison period, while then the relative sales margin was weakened by higher discount. When we look at the situation cumulatively, our cumulative operating profit increased by 1%, and our comparable operating profit margin was at a good level, actually 17.1% of net sales, which I would say is a good outcome, especially in the volatility of the world situation. Our operating profit was, of course, boosted by the net sales growth, while then on the other hand, the higher fixed costs and weakened relative sales margin had a negative impact on the operating profit development. The fixed cost growth was attributable to, in particular, the increased personnel expenses, but also they were due to the investments in digital development. The reasons behind the personnel expenses increase were actually the same as in the fourth quarter. The relative sales margin was negatively affected then by especially higher discounts and as estimated by significantly lower licensing income. In addition, also unrealized exchange rate differences had a weakening impact on sales margin. while the relative sales margin was then supported by margins per product being at a good level. There were several key events that took place in the fourth and last quarter of the year that really show how we're progressing in scaling up the global Marimekko brand phenomenon and our growth. Let's have a look. First of all, at the end of October, we opened our historically first Paris flagship store. Paris is, of course, no doubt the most important fashion capital in the world whose impacts in brand awareness and positioning expand beyond Europe to also North America and Asia. This way, our presence in Paris supports the scaling of our brand phenomenon and long-term growth across channels and international markets. In the fourth quarter, also Marimekko store, originally opened in 2012, reopened as a flagship store in the same street in Hong Kong, which again allowed us to reinforce our brand awareness and positioning across the broader Asia region. Also, new Marimekko stores were opened in Tokyo and Bangkok along with 8 pop-up stores that delighted customers, mainly in Asia as well as a pop-up cafe, which all complement our omnichannel store network. We also progress and continue to invest in our digital business. We launched at the end of the fourth quarter, a new Marimekko app that really offers an inspiring shopping experience and a digital home for our renewed loyalty program. The app also allows people to peek behind the scenes into our printing factory, into our print archive. And this app really allows us to deepen the engagement of our loyal customers. So really much at the core of our D2C business. In the fourth quarter, we also hosted local collaborations, namely the JW Marriott Hotel in 9 places hosted Marimekko rooms as well as events as well as in Taichung in the Sundate Cafe, the experience was addressed in the Marimekko Prints. And these kind of creative brand experiences that really connect with the local culture and community, they really allow us to differentiate from the competitors and introduce our brand yet again to new audiences, in this case, in Asia. To close the year, the Field of Flowers touring exhibition that actually has been, during the course of the year, touring and visiting a total of 11 cities, especially in Asia, made stops in Shanghai and Sydney. The Field of Flowers exhibition showcases the newest Marimekko floral print design, production, and these touring exhibitions have also featured pop-up stores, where people have been able to buy a bit of the new designs to their homes. Sustainability is one of the key strategic success factors in our scale strategy, and we believe that determined efforts to develop sustainability support our long-term success. In 2025, we continued our progress in our sustainability work and actually achieved 3/4 of our very ambitious targets in our previous strategy, sustainability strategy term on the greenhouse gas emissions and water use reduction. Then moving on to the outlook of 2026. Just a few words in general to get started. Of course, there are significant uncertainties related to the development of the global economy, such as the tensions related to geopolitics and trade relations, and the rapid changes in the trade policies, as well as other uncertainties, are reflected in consumer confidence, purchasing power and behavior, and thus can have a weakening impact on Marimekko. In addition, also, possible disruptions in production and logistics chains, and changes in these chains caused by the uncertainties may also have a negative impact. But of course, as usual, we're always monitoring these situations and developments and will adjust our operations and plans accordingly if needed. A few words about seasonality. So due to the seasonal nature of our business, a major portion of our company's euro-denominated net sales and operating results are traditionally generated during the second half of the year. It's also good to remember that the timing between quarters of the non-recurring promotional deliveries in Finnish wholesale sales and their size typically vary on an annual basis. Licensing income in 2026, we forecast to be approximately at the level of the previous year. Then, continuing to the net sales development outlook for 2026, starting from Finland, our important home market. Despite the weak market situation, our net sales, in the domestic market, Finland, are expected to increase in 2026. Sales in our domestic market are impacted by the continued weak general economy and low consumer confidence, as well as the development of purchasing power and behavior. The operating environment continues to be tactical and price sensitive, which continues to have an impact on the business. What is good to note is that in 2026, the non-recurring promotional deliveries in wholesale sales are expected to grow from the comparable year, and they will be weighted in the second half of the year, as in 2025. What is also good to note is that the development of the domestic sales is estimated to be more muted in the first quarter of 2026. Then moving on to the international. Overall, international sales, we estimate to grow in 2026. When it comes to the Asia-Pacific region, our second largest market area, we expect our net sales to increase in 2026. However, it's good to note that due to timing reasons, the development of sales in the Asia-Pacific region is estimated to be more muted in the first quarter of the year. In 2026, the aim is to open approximately 10-15 new Marimekko stores and shop-in-shops, and most of the planned openings will be in Asia. When it comes to growth, investments, and costs, of course, we develop, as always, our business with a long-term view and aim to continue scaling our profitable growth in the upcoming years. Thus, our fixed costs are expected to be up on the previous year, so also the marketing expenses are expected to increase. When it comes to the tariffs in the U.S., maybe a few words about that. So the increased tariffs in the U.S. have a direct impact only on a small part of our business, as the entire North American market accounted for 6% of our net sales in 2025, and we as a company are taking diverse measures to minimize the negative impacts of the tariffs. Then the early commitments to product orders from partner suppliers, which is typical of our industry and partly further emphasized due to the different factors, weakens our company's ability to optimize our product orders and respond to rapid changes in demand and supply environment, and thus increases business risks. There are also uncertainties related to global production and logistics chains, but of course, we always work actively in various ways to ensure competitive and functioning production and logistics chains, to mitigate the increased costs and other negative impacts, and to avoid delays, and to enhance inventory management. When it comes to our financial guidance for 2026, we expect our net sales for 2026 to grow from the previous year, and our comparable operating profit margin is estimated to be approximately 16% to 19%. The development of consumer confidence and purchasing power in our main markets, in particular, cause significant volatility to the outlook for 2026, and this development is strongly impacted by rapid changes and uncertainties in geopolitics and global trade policy, among others. In addition, possible disruptions in global supply chains can cause volatility to the outlook. Then finally, a few words still about the proposal for dividend for 2025. Our board of directors is proposing to the AGM that a regular dividend of EUR 0.42 per share to be paid for 2025, and this is, of course, in line with our dividend policy, or actually higher than that. With these words, I would like to open up the Q&A. Thank you for listening.
Anna Tuominen: Thank you, Tiina. And I would like to invite also our CFO, Elina Anckar, here for the Q&A. And just to remind you, you can still type in your questions using the chat function, and we'll go through them. But let's start with a couple of questions related to the events that you went through. There was a lot happening in Q4. So the Paris flagship store, has it met your expectations? Are you happy with the launch?
Tiina Alahuhta-Kasko: So, of course, it's very early days still in Paris, as the opening took place at the end of October. I think that overall, as I mentioned in my presentation, taking the step to open a flagship store in Paris is a significant milestone in our scale journey, namely because of Paris being the fashion capital of the world, The store caters not only for the local consumer, and this way supports us, in our Europe strategy. Many of you, you might remember that, we are working on modernizing both our brand and our distribution network in Europe, but equally, Paris is a destination for tourists. So we see that, good, inspiring presence in Paris can also support our awareness and positioning efforts, more widely, including also in Asia and in North America.
Anna Tuominen: What about the new Marimekko app? That was even more recent launched. But are you able to share some details on how that's developing? Can you see some impact on customer engagement or...
Tiina Alahuhta-Kasko: So of course, the Marimekko app was launched even later at the end of the year. And we're very excited about the Marimekko app. We have a very strong technology team at Marimekko, and we work in various diverse ways how to advance further digitalization of Marimekko's business to even better serve our customers and to support our efficiencies. The app plays a really important role in our direct-to-consumer business as it allows us to have a deeper engagement with our loyal customers and also provide to them an even more personalized experience. So they're excited to continue on that journey.
Anna Tuominen: Yes. A question related to sales, especially the Finnish sales. At least in Finland, one can see that there's been quite a lot of campaigns lately. Is this something that you consider necessary in this market environment? And the question -- and the person asking the question is asking also that assuming that fewer campaigns would result in higher profitability.
Tiina Alahuhta-Kasko: So overall, if we look at the domestic market, like Finnish market sentiment over the course of the last couple of years. So of course, we know that the general economic situation in Finland has been quite gloomy and the consumer confidence has been very low. And all of these uncertainties have also reflected in general in the marketplace to highly tactical and price-sensitive behavior in the marketplace. So in order for us to be competitive, there are 2 things. We need to have commercial excellence so that we are relevant for the customers in the climate where we operate. And even more important is that we continuously invest into the desirability of our brands and the hype around it. So both are important to succeed in this kind of a more challenging market situation.
Anna Tuominen: There needs to be a balance.
Tiina Alahuhta-Kasko: Yes.
Anna Tuominen: Another question related to sales, maybe for Elina, about the licensing income, especially licensing income in 2026, so this year. Is this level of licensing income that we saw in '25 and that you're guiding now for '26, is it sort of a new normal, or should this be viewed as particularly low level, or how should investors look at the licensing income going forward?
Elina Anckar: Yes. Regarding licensing income, that is something that we actually give a market outlook every year. And for the year '26, we have said that the licensing income will be more or less in line with the '25 levels. But it's good to remember that when we look at backwards, years '23 and '24 were, like record high in terms of the licensing, but we will announce the outlook for the licensee fee every year.
Anna Tuominen: There's also a couple of questions related to specifically marketing costs. So maybe I'll continue with the CFO. So you're guiding marketing costs to increase in '26. Is that in absolute terms or as a percentage of sales? And is there any way of giving a sort of guidance on how much they will increase? And what drives this kind of increase in '26?
Elina Anckar: As Tiina has already talked about like the importance of us continuing like increasing the brand awareness and the brand loves and the hype and in overall like making sure that we do invest into the growth even if the market situations are a little bit tougher. So for that perspective and based on a very strong financial situation, we are increasing our financial spend. And we're talking about like euro values here in terms of like the spend. And if we look at backwards, year '26, we spent some 6% of the turnover to marketing and the year before, the same 6%.
Tiina Alahuhta-Kasko: And maybe one addition to this is that when the market -- general market situation around the world is more challenging, it is also very much an opportunity for companies with a strong balance sheet and continued positive performance of our profitable growth and positive performance of our business to then invest into fueling our long-term growth. So we see that this also very much as an opportunity.
Anna Tuominen: There actually was another question also related to this that why not adjust these fixed costs, especially marketing to be closer to the long-term target, but then you would lose the opportunity to invest in growth.
Tiina Alahuhta-Kasko: Yes. We have a scale strategy. So we are all about building our long-term growth.
Anna Tuominen: That was actually all the questions this time. So we would like to thank you for joining us, and we hope to see you next time as well.
Tiina Alahuhta-Kasko: Thank you.
Elina Anckar: Thank you.